Operator: Good day, ladies and gentlemen and welcome to Denbury's Fourth Quarter and Full-Year 2021 Results and 2022 Outlook Conference Call. My name is Sherry, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to your host for today's call, Brad Whitmarsh, Head of Investor Relations. Please proceed sir.
Brad Whitmarsh: Good morning, everyone and thank you for joining us today. I hope you've had a chance to review our news releases this morning as well as the supporting materials that are available on our website at denbury.com. I want to remind everyone that today's call will include forward-looking statements that are based on our best and most reasonable information. There are numerous factors that could cause actual results to differ materially from what is discussed on today's call. You can read our full disclosures on forward-looking statements and the Risk Factors associated with our business in the slides accompanying today's presentation, our most recent SEC filings and today's news release. Also, please note that during the course of today's call, we may reference certain non-GAAP measures. Reconciliation and disclosure relative to those measures are provided in today's earnings release and supplemental materials as well. This morning, our prepared comments will come from Chris Kendall, President and CEO; Mark Allen, CFO; David Sheppard, SVP of Operations; and Nik Wood, SVP of Carbon Solutions. Matt Dahan, SVP of Business Development and Technology is here to participate in the Q&A. With that, I'll turn the call over to Chris.
Chris Kendall: Thanks Brad. Good morning, everyone and thank you for joining us on today's call. We have a lot to talk about today. I'm incredibly excited about our team's accomplishments since our last update, and we are similarly excited to share details of our progress with you this morning. I'll begin with a brief overview and then Mark, David and Nik will provide more detail. To begin, I am extremely proud of our employees, their sustained dedication and resilience as they continue to achieve great results in the face of the impacts from the COVID pandemic is inspirational. Our relentless focus on safety in everything we do again drove record performance. What made this achievement all the more impressive is that it was accomplished while managing through not only the pandemic, but also a significant construction project the installation of our CO2 pipeline to CCA. We recently completed two major milestones in the CCA EOR development. The first was the completion of the 105 mile CCA CO2 pipeline in November, followed shortly thereafter with the beginning of Phase 1 CO2 injection on February 1. These accomplishments have us on track for first incremental production in the second half of next year, followed by decades of strong production and development opportunities from this amazing asset. Through the exclusive use of industrial-sourced CO2 in this project, all production will be carbon negative blue oil. You will recall that we've been working on a third-party verification of the carbon intensity of our blue oil. We recently completed that work for Denbury's two largest producing EOR fields, West Hastings in Texas and Bell Creek in Montana. Significantly, and as expected, the CI score is negative for our blue oil production and second lowest behind only Dairy RNG when compared to a range of typical fuels. We expect that this negative CI score, blue oil production will ultimately drive incremental value for Denbury and we're working on several promising pathways to realizing that value. Before I turn to CCUS, I want to emphasize how the EOR focus side of Denbury's business is what makes most everything possible for us to realize our CCUS vision. Financially, it drives strong cash flows that can be directed towards CCUS investments. Technically, the skillsets that make us experts in EOR are the exact same skillsets needed for reliable CO2 sequestration. Operationally, we're able to utilize the same infrastructure for both our EOR operations and CO2 sequestration. And we have the immediate ability to inject captured CO2 into our EOR fields under existing permits and regulations. For many years, Denbury has been the only public company of scale with a primary focus on CO2 EOR and through that sustained focus; we were able to build a deep talent base of experts with similar passions and knowledge around all aspects of CO2 management. Today, those experts are helping Denbury accelerate into CCUS leveraging the technical project and operational knowhow that has positioned Denbury so well in this emerging industry. I would also like to touch on U.S. government policy support for CCUS. Some have asked our thoughts on what comes next on any potential increases to the 45Q tax credits, and how important those increases may be to our business. I've heard occasional concerns from investors that submitters may be on the CCUS sidelines until 45Q is increased. First and foremost, we remain very excited about the high-level of engagement and activity with industrial emitters that is based on the current 45Q levels and we are confident our CCUS business will grow strongly even if we were to see no changes from the current levels. To underscore this point, the goals and priorities we communicated today are based on the current tax credit levels, as are the new CO2 offtake agreements we announced this morning. I'm looking forward to sharing more positive and exciting developments in the coming weeks and months that will further highlight this progress. Considering the strong bipartisan support for CCUS, I believe that in time favorable changes to the tax credit will be implemented. In my view, higher tax credits will accelerate CCUS from what we already see as a rapidly growing business, and most importantly, will accelerate progress in achieving the ultimate objective of reducing carbon emissions. My confidence in the opportunity we have in CCUS has steadily grown over the last year and last quarter, and quite frankly, even during the last several weeks. While Nik will provide details around how this exciting business is developing in a few minutes. I'd first like to share a few high-level thoughts here. My fundamental belief is that a reliable, redundant and secure transportation and storage system downstream from the capture facilities is essential for a successful CCUS project. Our strategy is to bring a solution to our industrial partners that economically provides those elements, leveraging the extensive backbone of our industry-leading CO2 pipeline infrastructure. In the coming months and beyond, we plan to continue to strategically add dedicated storage sites along that backbone, just as we announced today, providing both significant storage capacity, as well as the great redundancy that will give our industrial partners the most reliable service possible. That service will be backed by our deep technical and operational CO2 handling bench strength, which is unmatched in the industry. When combined with our ability to provide CO2 offtake certainty today in EOR as dedicated storage is being permitted and developed, Denbury offers more than a compelling combination for anyone preparing to make significant capture investments. Utilization of CO2 is an exciting area of CCUS technology development. And this morning, we announced a strategic alliance with Infinium, a company that has developed an innovative technology to produce ultra-low carbon fuels using captured CO2. In addition to supplying CO2, Denbury has the opportunity to potentially participate as a partner in Infinium's ultra-low carbon fuel projects. We have set aggressive goals for our CCUS business in 2022 that support our strategy to lead the CCUS industry. For CO2 storage sites, our goal is to reach at least 1.2 billion tons of potential capacity by the end of 2022 with storage sites strategically located across our network. For the transportation and storage of CO2 received from industrial emitters, our goal this year is to reach agreements representing an excess of a cumulative 10 million tons per year. The agreements announced today have moved us further toward that target. And based on our current negotiations, I'm highly confident that we will meet and will hopefully meaningfully exceed our goal. Based on our encouraging progress, we're allocating significant capital to CCUS this year. We're planning on spending around $50 million but we were prepared to flex that number higher depending on our continued or accelerated progress. Capital spend in this area could include lease acquisition costs, pre-development activities on sequestration sites, and potentially even some capital for equity investments or joint ventures in the CCUS value chain. Building on the great accomplishments of last year, 2022 will be transformational for our business. In the course of this year, I'm confident investors will have a much more defined view of Denbury's significant industry leadership, and the incredible potential of what this business can become in the coming years. I will now turn it over to Mark for a review of our 2021 results and 2022 outlook.
Mark Allen: Thanks, Chris and good morning everyone. Today I'll provide a brief overview of Denbury's financial results for the fourth quarter and review our high-level financial guidance for 2022 and then hand the call over to David for an operations update in more detail on our plans for this year. Let me start off by saying I'm very pleased with where we've ended the year financially, which sets us up very well to execute on our plans not only in 2022, but for several years into the future. Financial liquidity at the end of 2021 was a robust $532 million and we exited the year with our only debt being $35 million in borrowings drawn on our credit facility. We reduced our debt by more than $100 million in 2021, a significant accomplishment, especially considering our payout of $277 million on the hedges that we were previously required to have in place under our credit facility. Looking forward, with robust oil price drip and more favorable hedges, we project being debt free in the first half of this year. For 2022, we have around 50% of our anticipated production covered by hedges, and in comparison to last year, our current year hedges are at higher prices, and provide more upside exposure due in part to a more balanced mix of collars and swaps. You can find the specifics on our hedges in the earnings supplement. We have recently begun to layer in some hedges for 2023 at very attractive prices. We believe that securing some price certainty is prudent for our business and provides a level of assurance for our longer range plans, especially as we enter a period of more significant spin for CCUS. With extremely low debt levels, a current strong outlook on oil prices, and a modest natural production decline business, Denbury is in great position and we plan to focus our hedge strategy towards providing an adequate level of certainty while still providing exposure to market prices. Fourth quarter 2021 sales volumes averaged approximately 48,900 barrels of oil equivalent per day, a slight decrease from the third quarter due to unplanned downtime at several of our fields during the month of December, as well as the impact of higher oil prices on the third-party owned net profits interest at CCA that generally reduces our net revenue barrels as oil prices move higher. Lease operating expenses for Q4 totaled $25.75 per BOE in line with our expectations and relatively consistent with the third quarter. Our other cash operating costs were all generally in line with expectations including transportation and G&A. For the fourth quarter, our cash margin prior to any hedging impacts increased to approximately $38 per BOE. Fourth quarter development capital came in at $78 million as our teams continue to deliver on the CCA project below budget. Full-year development capital expenditures totaled $252 million at the low-end of our original 2021 capital guidance range. Next, I will cover a few items relative to our current year outlook. As you can find in our supplemental information, we've included a slide on guidance for capital production, oil price differentials and various costs including income taxes. With respect to capital, we've set our 2022 E&P development capital at a range of $290 million to $320 million. At the midpoint, this includes approximately $190 million for what we would consider sustaining production activities and $115 million for our CCA EOR development. When adding our projected CCUS capital expenditures of $50 million, our total CapEx for 2022 is currently anticipated to be between $340 million and $370 million. We've been asked many times our thoughts as to the level of maintenance or sustaining capital necessary to hold our production flat. With the current cost environment, we estimate that sustaining capital level to be approximately $200 million. This estimate excludes significant upfront capital for new EOR floods, such as CCA, which you have non-incurred for quite some time. Looking back over the last couple of years, we have spent significantly below this estimated level and therefore it should not come as a surprise that we have experienced a modest decline in production. These prior decisions around capital spend were well considered and justified based on many factors, including the global economic crisis and oil price degradation in 2020. And in 2021, we made the strategic decision to generate free cash flow, even at lower oil prices, while at the same time investing in our new EOR growth projects at CCA. 2022, however is looking to be much different, both from a macro perspective for oil prices, as well as specifically for Denbury. With our strong balance sheet and direct line of sight to higher anticipated cash flows, accordingly, we are investing closer to the estimated sustaining capital level for our base oil business, while also progressing our CCA EOR development and initial investments into our CCUS business and still anticipate generating significant free cash flow. We built our 2022 budget around a $70 oil price. And based on our volume and cost guidance, we would expect to generate between $450 million and $500 million in operating cash flow, excluding working capital changes. With a $10 increase in oil prices, we would expect our cash flow to be around $70 million higher. Sales volumes for 2022 are anticipated to be down slightly as compared to last year, primarily resulting from the underinvestment over the last couple of years. Before I hand the call over to David, I want to emphasize just how good I feel about our strong financial position and the outlook for our increasing cash flows. While we anticipate the capital spend for our CCUS business to significantly and appropriately ramp up over the next several years, we also expect the free cash flow from our oil business at current oil prices to similarly expand, providing the capability to organically fund our anticipated CCUS investments. As the certainty around Denbury CCUS business increases, both in terms of capital expansion and contractual agreements supporting future revenues, we will continue to assess the optimal financing strategy for our CCUS business and the best uses of excess cash. However, we currently believe that building cash to fund our growing CCUS business is our top priority. In addition, with higher oil prices and expanding CO2 resources, there's also potential for expansion on the EOR side of the business. Again, we are extremely excited about our financial position and the great opportunities in front of us. Now I'll turn it over to David.
David Sheppard: Thanks Mark. Good morning, everyone. Looking back on our performance for 2021, I am extremely proud of how our teams executed, achieving another record low annual total recordable incident rate, delivering solid asset and project performance and managing capital spin towards the bottom end of our guidance. During my time today I will touch on safety performance, year-end reserves, cover some highlights from our solid 2021 execution results. And lastly provide an overview of our 2022 operational plans. As typical, I want to start with safety, which is core to our operational performance. For the year we achieved a record low combined company and contractor total recordable incident rate of 0.4. This was our fifth consecutive annual rate improvement and was about half of the previous record rate. In addition, we established a new record low serious injury potential or SIF rate in 2021. Both records are great accomplishments and would not have been possible without the entire organization's focus and collaboration. As activity levels are increasing at Denbury and across the industry, I've challenged our teams to redouble our focus on safe, reliable, efficient operations as we strive for the record that matters most zero incidents. Moving onto reserves, proved reserves at the end of 2021 represented a 34% increase from the end of 2020 to 192 million barrels of oil equivalent. While this significant increase was largely due to the uplift in commodity prices year-on-year, we also recorded new reserve additions from our Wind River Basin assets and from 2021 development activity at Oyster Bayou and other projects. Utilizing a crude oil price per barrel of nearly $67 WTI, the PV-10 value of our proved reserves increased to $2.7 billion as of the end of the year. With 97% of our reserves being oil, we estimate that a $10 per barrel change in oil price impacts our PV-10 value by approximately $850 million, which does not include any consideration of our significant CCA EOR potential. Our operations team performed exceedingly well throughout the year, delivering strong execution on our $252 million of capital projects. Fourth quarter capital expenditures of $78 million were focused on completing the CCA CO2 pipeline installation from Bell Creek to CCA, as well as the Phase 1 infield infrastructure at East Lookout Butte and Cedar Hills South. Our projects teams did a fantastic job on the pipeline installation with mechanical completion achieved on the pipeline in November of 2021. We completed landfill of CO2 into the CCA pipeline before the end of last year, and I'm proud to announce that the first CO2 injection into the East Lookout Butte field in Montana, and the Cedar Hills South unit in North Dakota commenced on February 1 of this year. Injection of CO2 into the Red River reservoir has gone very well. And as of today, we have CO2 injection underway at 25 wells, injecting approximately 38 million cubic feet per day. With the overall CCA project running slightly ahead of schedule, we are still expecting first EOR production to occur in the second half of 2023 with production ramping up over a six month duration. Next, I'll spend a couple of minutes covering some highlights from Denbury's expansive CO2 operations. CO2 injection into our EOR fields totaled approximately 510 million cubic feet per day in 2021, or 9.6 million metric tons annually. Of this amount approximately 34% was from our industrial-sourced CO2, resulting in carbon negative or blue oil. For 2022, the amount of industrial-sourced CO2 we are utilizing is anticipated to increase approximately 33% to 4.3 million metric tons annually. This increase is driven by new volumes coming from both the Shute Creek and Lost Cabin gas processing facilities in Wyoming and will be injected into the newly developed CCA EOR areas. A key metric from our CO2 operations that I want to focus on is Denbury system reliability. In terms of being able to take CO2 from our industrial-sourced CO2 providers in the Gulf Coast, air products and nutrients our achieved planned up time has been 100% since the first of these sources came online over nine years ago. This flawless performance highlights the reliability of the Denbury integrated system to transport and utilize industrial-sourced volumes and our track record of essentially zero downtime. Now for some additional color on our 2022 operational plans beginning with the ongoing CCA CO2 project. Anticipated total capital in 2022 for the project is $115 million, including the remaining well conversion work, installation of recycled facilities, implementation of a CO2 pilot project at the mill in the Interlake reservoir, and $25 million for CO2 injection cost, as those costs are capitalized prior to tertiary production and expensed after production commences. Expenditures for the recycle facilities were previously planned for early 2023 are being shifted to 2022 largely due to the accelerated project schedule along more proactively managing equipment lead times. With CO2 injection underway excitement is building as we close in on the first tertiary production at CCA. As a reminder, the three things that really stand out about the CCA development are number one, the estimated total recoverable resource potential over 400 million barrels equivalent make CCA the largest EOR development we've ever undertaken; two, CCA should drive down our operating costs per BOE as we estimate LOE per incremental BOE at $10 to $15; and three, this was a fully carbon negative development, and CCA will significantly increase the scale of our blue oil operation. I am excited to see the progress made by the CCUS team as they engage with additional emitters in the region that can potentially bring new volumes to our CCA development. Mark mentioned earlier, the 2022 planned capital spend increase in our non-CCA tertiary and conventional field activities. I think it is spend as part of our sustaining production capital. As a significant upfront capital associated with the CCA CO2 club will be largely completed in 2022, I would expect future development spend will transition to our sustaining capital amounts. However, we could have some infrastructure spend that may stand out from time-to-time as we expand operations, For 2022 capital plan for this category totals $190 million and we've listed many of these projects in our earnings supplement. A few of the most impactful are the EOR project at Cranfield, Soso and East Heidelberg. The Cranfield and East Heidelberg projects target incremental recovery in under swapped areas of existing producing reservoirs, while the Soso development involves recompleting existing wells to flood and produce from a different reservoir. Following our acquisition of the Wind River Basin assets in the northern region last year our teams have been busy evaluating these fields for opportunities and generating projects. The first large cap project has been funded and is underway targeting a redevelopment of an existing Madison reservoir flood in the Beaver Creek field. Drilling activity is shaping up to be at the highest level in recent years with over 20 wells planned throughout our EOR and conventional assets. I also expect workover rig counts to range between 25 to 30 rigs with around half of them assigned to capital projects. Production volumes for 2022 are anticipated to range between 46,000 and 49,000 barrels of oil equivalent per day with the high-end of the range relatively close to our average full-year and fourth quarter 2021 volumes. I anticipate our 2022 sales volumes will dip slightly in the first quarter, but will grow throughout the year, considering unplanned maintenance and weather that has impacted both our northern and gulf coast regions at the end of 2021 and into the beginning of the year, and reflecting production response from our project development work occurring throughout the year. Briefly on operating expenses, we are anticipating 2022 unit costs to be slightly higher than the run rate in the second half of 2021 with costs expected to range between $26 and $28 per BOE. As a reminder, these costs can fluctuate mostly resulting from changes in commodity prices, which directly impact our CO2 cost, fuel, and power expenses. Should crude oil stay at current price levels, I would expect our LOE cost to be at the high-end of the range. Wrapping up, I just want to comment about how excited I am about our 2022 plan and the outlook for our oil business going forward. With a return to investing at closer to sustaining capital levels in 2022, and as the CCA CO2 development starts to respond later next year, we are strengthening the foundation on which Denbury stands by stabilizing our base production into 2023 and positioning ourselves for a tremendous future as CCA response brings moderate production growth in 2024. I'll now hand it off to Nik for an update on the CCUS business.
Nik Wood: Thanks, David. I'm looking forward to updating everyone on the call today about the great progress we've made on our Carbon Solutions strategic priorities, as well as the targets we set for this year. It was an active end of year and start of 2022, as evidenced by the agreements we've announced this morning, momentum for our CCUS business is building. In 2021, we announced our first two transportation and storage service agreements for CO2 offtake, one with Mitsubishi and the second with a private Gulf Coast biofuels developer, totaling 2 million tons per year. Since these announcements Mitsubishi has continued to progress the planed ammonia plant in the Gulf Coast. The private biofuels plant developer is nearing completion on frontend design for that project. And our team is simultaneously working on plans to connect these plants to our infrastructure. This morning we announced three new transportation storage and utilization agreements covering an additional 3 million tons of CO2 per year. The first agreement is for the offtake of 400,000 tons of CO2 per year from an existing chemical plant in Louisiana, just 15 miles from our green pipeline infrastructure the potential start-up in 2025. The second is a hydrogen plant in Wyoming, planned to be built within five miles of our Rocky Mountain infrastructure. The agreement is for the offtake of 100,000 tons of CO2 per year, beginning in late 2024 and ramping to over 1 million tons per year around the end of this decade. This is the first agreement we've announced in our Rocky region, and it showcases the broad spectrum of solutions that our expansive U.S. CO2 infrastructure can provide to industry. These new agreements are long-term in nature 12 to 20 years with extension options, and include the flexibility for Denbury to utilize the CO2 and EUR operations. The third is our strategic alliance with Infineon to develop ultra-low carbon transport fuels. Denbury will source and transport 1.5 million tons of industrial-sourced CO2 per year to Infinium's planned electro fuel facilities. The Infinium facilities are planned in close proximity to Denbury's existing Texas infrastructure. And we expect to be ready to deliver CO2 as early as 2025. This utilization agreement is an example of how Denbury is actively pursuing innovative partnerships across the CCUS value chain. Combined between 2021 and the first part of 2022 we signed CO2 transportation storage and utilization agreements for an industry-leading total of 5 million tons of CO2 per year. The earliest anticipated offtake from these agreements will begin in 2024. We are negotiating transportation and storage agreements for over 50 million tons of CO2 per year. Based on our success to-date and the great potential we see for reaching additional agreements with industry partners, we set a target to reach a cumulative agreement total in excess of 10 million tons of CO2 per year by the end of 2022. Turning to our storage site objectives. On our last earnings call, we announced the joint development plan for a large storage site in Texas. On the Texas site, we've made steady progress over the last quarter with our JV partner, progressing the sites due diligence, preliminary engineering design, and continuing the Class VI permitting process. We've made two significant additions to our portfolio of permanent sequestration sites. The Alabama site we announced earlier this year is a very large and attractive site with an estimated storage capacity in excess of 300 million tons of CO2. This site offers the sequestration opportunity for nearby industrial plants and we believe Greenfield capture projects will be tracked into this site due to the availability of CO2 sequestration and the convenient access to deepwater ports. We started the Class VI permitting process with anticipated first injection in 2026. And this morning, we announced the definitive agreement with a large landowner to develop a CO2 storage site in Donaldsonville, Louisiana. Located less than 10 miles from our existing infrastructure, the site demonstrates high integrity containment due to its structural trap and added shield barriers, with great expected injectivity resulting from its extensive reservoir thickness and permeability. This site has potential to store over 150 million tons of CO2 targeting first injection in 2025. The close proximity of this site to our network minimizes the interconnecting pipeline investment. And we are nearing agreement on multiple additional sites with similar proximity to our pipeline infrastructure. We've already started to take action to develop our storage sites. Our team is progressing geologic and reservoir analysis required for Class VI well injection and is actively engaged in communication with EPA. We plan to evaluate seismic drill stratigraphic wells, start core analysis and secure the lateral rightaways as the first of many steps required to progress each of our sites to a first injection. To-date, we signed agreements, giving Denbury the rights to evaluate and develop a cumulative total of over 815 million metric tons of CO2 storage capacity in Texas, Louisiana and Alabama. Consistent with our strategy to build a portfolio of safe, highly reliable and redundant permanent sequestration options for our customers. In 2022, we are targeting to acquire a cumulative CO2 storage capacity of 1.2 billion metric tons. I'll wrap up my update with a few key thoughts. First, our focus in developing and managing CO2 in the oilfields for the past 20 years stands alone in the industry. We believe that experience directly translates into the development of a broad portfolio of geographically diverse, high quality sequestration sites. Second, geology of the Gulf Coast creates some of the most suitable pore space for CO2 storage in the U.S., and our existing infrastructure provides the perfect footprint to integrate the best sequestration sites into a far reaching network that'll provide unmatched reliability and flexibility in our transportation and storage and utilization services. Third, Rocky Mountain opportunities, although less mature are an important market for our CCUS strategy. Our team is actively working on agreements in the region, as we've demonstrated this morning in the announcement. And finally, 2022 will be a year of significant progress for Denbury Carbon Solutions as we execute new agreements that continue to build on our strong advantages, firmly establishing Denbury as the industry's preferred CCUS partner. We're looking forward to keeping you updated as we continue to build on our early successes throughout the year. Operated, we'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions]. Our first question is from Doug Leggate with Bank of America. Please proceed.
Doug Leggate: Thank you. Appreciate you taking my questions, guys. So I guess with the Cedar Creek getting up and running, I guess first oil in a year or two. What do you think the current view of sustainable inventory is, when you talk about maintenance capital, little bit of growth ahead of you? What are we thinking in terms of the inventory visibility you have for the base business today?
Chris Kendall: Hi, Doug, good morning. This is Chris. Great question and certainly when we start with just CCA, as David mentioned, we see potential there in excess of 400 million barrels which is more than double our current proved reserves. So that alone is something pretty special. Also though, as we look across just the inventory that we have of our existing fields, we talk about our Webster field south of Houston there, that's one that the pipeline runs right up to. And that's one that's prime for starting up in EOR, in the not too distant future, I'd say. So that's more Greenfield type Development Inventory. And then on top of it, I think of a couple other areas that are interesting. The first is just within the remainder of our fields, how these great teams that we have continue to find new ways to flood in different patterns, to flood in different horizons, and you're seeing some of that in the capital program for this year. And then, of course, what I see on top of that is just the numerous fields that we can access that may not even be in our inventory today, Doug, but they can be added and put into EOR with the CO2 infrastructure we have and the access to CO2. So I see it broadly. Certainly, we love where we sit, we love having the pipeline into CCA that really unlocks all of the potential up there, but much more beyond that.
Doug Leggate: Okay, I appreciate the answer. I know there's a lot of background. And actually, my second question is really wanted to go back in the archives a bit, Chris. April 2008, you did a very detailed analyst presentation; I know that's a long time ago for a lot of people. But a lot of the current visibility in the portfolio around CCS was also laid out 15 years ago, more or less. And my point is clearly it takes a long time for the stuff to evolve to a meaningful level of EBITDA or value that the market will recognize. So my question is something I've asked you a number of times before, and I just want to get your latest thoughts on it. As you firm up the visibility of some of these anthropogenic opportunities, are you the right owner of the infrastructure and what do you think the value of that infrastructure is today?
Chris Kendall: Yes, there's a lot of great elements of your question there, Doug. And first, I'd say it's interesting to go all the way back to 2008. And we've talked about that quite a bit here. The view of what could happen with CCS has been held by Denbury as being very positive for many years. I think just in the last two years, really, we've seen policy catch-up in a way that that can support the type of acceleration that we're seeing right now. So that's something that as we as look at where we are today, it's fundamentally different to where we were in 2008. But it's something that we've been building for. When we think of just the path of that growth, I certainly agree with you that it is a long game that we're in here. These are projects that will be implemented, but over a period of years, but once they are, they will be running for decades, just as the plants run, the offtake of CO2 will run along with them. So we're excited about that. You asked about the owner of -- the appropriate owner of the infrastructure and to a very large degree, Doug, we feel that we have that infrastructure, and that what we can do to enhance that, to reinforce it with Class VI storage along the way to provide that redundancy that we've talked about quite a bit. It's just something that all that expertise that was developed leading up to that point in 2008, that you talked about, but then honestly, even in the 14 years since then, that we've built and become just that much better, really puts us in a position where we feel right in the center and right at home, doing exactly that.
Doug Leggate: Sorry, Chris, the value, what do you think the replacement value of your infrastructure today? I'll leave it there.
Chris Kendall: Yes, great question on the replacement value. I mean, so we look at a few different elements of it, I can just point to what we spent more than a decade ago on the green pipeline as being in a neighborhood of a billion dollars. When we add that to the remainder of the infrastructure up there in Mississippi, primarily, when we add the infrastructure that we have in our Rocky Mountain region, I get to some pretty high numbers and those are based on just the cost of putting them in, in the first place. When I look at today's environment, costs are higher, permitting complexity is higher. I think it's well above what we spent in the first place certainly, a few billion dollars.
Doug Leggate: Obviously, good to hear about your market capitalization but I have detailed answer, yes, detailed answer, Chris. Thanks very much indeed.
Chris Kendall: Thanks, Doug.
Operator: Our next question is from Charles Meade with Johnson Rice. Please proceed.
Charles Meade: Good morning, Chris, you and the rest of your team there.
Chris Kendall: Good morning Charlie.
Charles Meade: Picking up on that thread of permitting complexity you guys did address some of the Class VI well permitting in your remarks but I'm wondering if you could give us a sense of what the timeline is and what the -- maybe the posture of the EPA is in that and we had a Senator from Louisiana recently came out who called out the EPA for essentially, I don't want to say, slow walking, but just but not being responsive on Class VI permit. So can you talk about what that looks like and set some expectations for us on when we should be looking for these permits which are key to do the sequestration side of the CCUS?
Chris Kendall: You bet, Charles. I'll just say something briefly here then I'll ask Nik to weigh in. Is that as a right front and center in his view right now. Perhaps the frustration of the Senator from Louisiana might have been related to a delay in the granting of primacy that we then have been working towards. And least what we're hearing recently is that that granting of primacy to where Louisiana can actually grant the Class VI permits might be delayed to later in the year. So it's possible that that's what he's thinking about. But I'll ask Nik to give a more broad overview of just where we are and what we see in the Class VI process.
Nik Wood: Sure, thanks for the question, Charles. First, I just want to say how excited we are to acquire this portfolio of sites that we've built so far. And that excitement is of course led to us moving quickly on getting a Class VI permitting process rolling, which we've done already, that's going to include site characterization, which includes evaluating geology, doing a lot of geologic description, building a reservoir simulation, evaluating seismic, working with the EPA through each one of these steps and making sure they're informed and understand the next steps that are coming and agree with how they all work together. We are optimistic that the whole process should take as short as 18 months to get through the process with EPA. As we get to a point where primacy is taken over by the states, we hope to see that that timeline continue to decrease.
Charles Meade: That is helpful. That's a helpful color. And thank you Nik. My follow-up, I wanted to ask you about the CCA development and I noticed in your slide deck that you're talking about -- you repurpose the water injection system for CO2 injection, but it looks like you guys are -- the way I read it looks like you're going to be drilling some new horizontal producers. And I'm wondering if that's the right interpretation in what the benefits are? And is that something that we can see back on the Gulf Coast?
David Sheppard: Hey, Charles, this is David. I'll take that question. Appreciate the question there. Yes, we are converting our injection wells, our existing conjunction wells from water injection to CO2 injection. But yes, part of the beauty of this Phase 1 project is that we are utilizing the existing inventory of horizontal wells and going to be able to produce directly from them. Yes, so there'll be some requirements that will have to change up some of the wellhead trim and et cetera different servers for CO2, but really low expected well conversion cost there.
Operator: Our next question is from Jeoffrey Lambujon with Tudor, Pickering, Holt. Please proceed.
Jeoffrey Lambujon: Good morning. On the Carbon Solutions business, obviously, there a lot of news on both CO2 offtake and sequestration, but maybe just to hit on the sequestration side of it. First, and that seems to go I think a bit underappreciated. You've got several sites now kind of spread out in terms of geography and also in terms of variability in what each site might be close to when thinking about infrastructure or industrial facilities. So can you maybe just talk a little bit about the strategy there in building out that portfolio? What we should envision for future port space leasing, as we think about the balance between sites that are very close infrastructure and existing missions. You could even just frame what existing missions are around the Texas Gulf Coast side and the Donaldsonville news from this morning. And sites that expand in various footprint overall, like the site that's close and immobile, that may be better suited for Greenfield?
Nik Wood: Yes, great. Thanks, Jeoffrey. This is Nik again. And I'll be taking this question. So from a strategic standpoint, the way we look at our strategy for acquiring these sites is to put them in kind of an even distance throughout our infrastructure that allows us to optimize deliverability to those sites from a pipeline standpoint. It effectively reduces the constraint we would have on that pipeline, because if you think about where the emissions are coming on, and then coming off, the quicker we can take them off, the more capacity we have on that line. And that really provides a big benefit for us to continue to aggregate a lot of volumes. So that's kind of the general strategy around our acquisition, I'll say that we're very lucky to have our infrastructure where it's at. The geology for the Gulf Coast is amazing, it is so large, that, we kind of look at it from a standpoint of where is the actual best position, given the proximity to our emitters along our infrastructure. And so if you can, if you think about Donaldsonville, in particular, you can think about the large volumes of emissions there. And I think we pointed to around 50 million tons per year of, I guess, potential emissions that we're in conversations with right now. I would say that there's much larger potential, and even in that area by itself. And so we look forward to continue to build that portfolio of emissions with our industry partners there. It's -- in terms of extensions in our Alabama site, we look forward to first of all, building a hub there for the emissions that are nearby. And so because of the close proximity to those emissions to that particular store site, we believe we can make a very economic business out of infrastructure we would build there. That of course, could lead to us connecting all of our infrastructure with compounds, the network effect of the value of all those sites, and what we can aggregate across the whole system.
Jeoffrey Lambujon: That's great. I really appreciate all the detail on that and also appreciate the reiteration of over 50 million tons per annum that you've talked about being in discussions for. I guess maybe just for my follow-up a couple questions around that, what's the movement, I just been like four counterparties, into out of and around that list of potential candidates that you're in discussions with, and if you can speak to how you've arrived at the 10 million tons per annum target, or 2 million plus for the year that would be helpful?
Nik Wood: Great, yes, so, of course, our list of potential industry partners is very long, and it's somewhat changes over time. But I would say that their potential emitters that are very close to being complete in terms of knowing that they're going to be getting to FID, and will have a capture project that we'll be able to -- be able to work with and provide our service to. And so that list continues to mature. And I'll say, a large portion of that list just continues to move forward towards completion. I'll say that there are a few and very limited few that that do come off but we're continually adding to the list in a way that I would say is much more fast, then emitters are actually coming off the list. And so that's kind of how you can think about the queue of emitters or the pipeline of business that we're working through. And as you think about where we're headed in terms of negotiations or sticking points, we really don't see a whole lot of the sticking points to the negotiating process. But there is a bit of a timeline that our emitters need to get to the point where they're comfortable with their capture process that allows them to actually execute the deal. And so when you think about the 10 million tons per year that we point out there, it's more of a maybe a timing around the 10 million tons per year versus the amount of total emissions that we'll be getting from the 25ish million tons, that we're currently engaged with detailed discussions in. And so we just predict that there's a particular amount that will actually get to the investment decision necessary for us to actually ink that term sheet this year, not necessarily saying that that's the only amount of CO2 that'd be coming out of that larger volume.
Operator: Our next question is from Richard Tullis with Capital One. Please proceed.
Richard Tullis: Hey, thanks. Good morning, everyone.
Chris Kendall: Good morning, Richard.
Richard Tullis: Chris -- Chris, I know you talked a little bit about or maybe it was Mark talked some about preferences for use of excess cash. Now how do you view the landscape for potential share buyback given where the current stock price is relative to recent oil price performance?
Chris Kendall: Yes. No, you bet Richard and it's something that we've been thinking about quite a bit especially really just in the last couple months or so when we've seen oil prices just continue to strengthen and we set a budget for the year at $70 oil and you can see where oil is today. So we're feeling good about that. Certainly, as Mark mentioned, we want to focus our primary capital deployment or thinking about where capital's going to go in the future towards this great CCUS opportunity that Nik's talking about. We're spending some money on that today; we expect that to ramp into the coming years. And honestly the more it ramps, the better the business is. And so we feel that that that's something that is exciting and we will have a path to where that's going when we get to those years. But in the meantime, we have thought about whether it's the appropriate time to consider some form of return of capital, whether it's share buyback, like you mentioned, or otherwise. And it's something that's in our conversations right now, and we're going to continue to think about that. Just want to make sure that we primarily cover our ability to organically fund the projects that Nik's team is coming up with. And it'll be interesting to see how the next few months go, but it's definitely front and center on our minds, Richard.
Richard Tullis: That's helpful, Chris, thank you. And in the release this morning, it was mentioned of regarding the equity option in one of the projects. What level of comfort do you have in -- for a total, maybe investment in some of the CCUS-related projects over the next couple of years? What sort of range might you look at without giving too much information away, of course?
Chris Kendall: That's a good question. And it's something that -- it's part of our strategy that where we can find ways to participate in the value chain beyond really just our wheelhouse, which is transporting and storing CO2, which on its own, we feel great about as you know. So in certain areas, we've looked at that opportunity to invest as an equity partner in some of the developments. And there is some level of appetite that we have for that. Richard, I'd say that we're going to be pretty thoughtful about it. Just recognizing what we really want to spend a lot of our time and focus and resources on is building out the, the transportation storage side of the business. But we will look at those kind of opportunities, and I'd say that they would come in at a lower level than most of our other investments, but certainly something that we're thinking about.
Richard Tullis: Okay. And one more for me, and I'll drop off. The $115 million targeted for CCA CapEx in 2022, roughly how much of next year's CapEx was pulled into 2022? And at this point, what's the expected CapEx range for next year at CCA?
David Sheppard: Hey, Richard, this is David again. I'll take that question. Yes. I just, I can't underscore enough how pleased I am with the project execution and that too, we were able to complete the pipeline in the infield infrastructure ahead of schedule and under budget there. So I think that's a good key, important point too, in that we've started the CO2 injection. And I'll just say the initial response is we're happy with that soon or right now. So in light of that, based on those good progress, we saw the potential to pull our recycle facilities associated with those first targeted areas in to our 2022 spend. So there's some other factors that are going on too as well. There's some inflationary top [ph] concerns that we're seeing some elevated costs in 2022. And we've also carried that in through our 2023 and beyond plans too as well. So as I think about pulling those recycle facilities in 2022, some of that offset that is going to be impacted by the inflationary pressures in 2023 and beyond there. So all things being equal with no further project acceleration, no further inflationary pressures along the way, we still expect to see our CCA 2023 capital to be lower than 2022. So I hope that gives you some good guidance there, and it's also lower than what we've actually shared in some of our most recent corporate presentations.
Operator: Our next question is from Leo Mariani with KeyBanc. Please proceed.
Leo Mariani: Hey guys, wanted to delve a little bit more into some of the deals from 2021. I know you gave a little bit of color around the Mitsubishi deal, but I think obviously when that deal was originally signed, it was a term sheet. Can you talk more about what key hurdles are really out there to kind of making this more of a definitive contractual agreement? Would you anticipate achieving that here in 2022, and can we also get a bit of an update on the Mitsui deal? On that deal, I believe you guys were kind of searching for some new EOR opportunities around the Gulf Coast?
Chris Kendall: You bet, Leo and what I'd say, I'm going to turn your first question over to Nik and then your second question over to Matt. To some degree in both of those deals, we are going to be limited just by the confidentiality of the agreement that we have with those counterparties, but we'll do the best we can to put some color on that. So Nik?
Nik Wood: Yes. Thank you for the question. So with Mitsubishi, we're working with them towards putting together a more robust plan on how exactly we're going to be connecting to their plants and working through their process. That includes the steps necessary from an engineering design standpoint to get to FID. And really from – for thinking about when will we kind of take it to the next step of a more definitive agreement. You can contemplate that before our counterparties generally want to move into the more definitive agreement they want to get past their FID on their capture side.
Matt Dahan: Leo, this is Matt Dahan, handle the Mitsui question. Our teams are working alongside our Mitsui counterparts really scouring the Gulf coast region within our AMI. They've narrowed it down to several preferred targets and we're kind of working the final technical work here in the next couple of months before we bring that to a potential decision.
Leo Mariani: Okay. And then I guess just a question around the Class VI permitting process, you spoke about this earlier. Do you folks anticipate filing some Class VI permits here in 2022, around some of the sites you've announced? Or do you think that's more maybe next year?
Nik Wood: Yes, this is Nik again. So yes, when you think about the way the Class VI permitting process works, I would call it more of an interactive processing of the permit, meaning we'll be actually working with the EPA or the state, if a state has primacy on the steps that we'll be taking to get to the submission of the permit. And so if you can kind of picture how this looks, if there is a long checklist of items that you have to get through, for example, the site characterization I mentioned before, the seismic evaluation, the reservoir description, we will then move into environmental baseline evaluations and measurements and then plan and drill a stratigraphic well test and then build development plans. This will all be done hand in hand with the authority, the EPA in this case. And by the time you get to the point of actual submission, you are effectively done with the permitting process. And so that submission probably is a little difficult to land in 2022. It'll probably be a bit later than that. But once you get past all those steps, we don't see there being a big iterative process that may have been seen in past permitting processes.
Leo Mariani: Okay. That -- that's helpful. And I guess maybe just on the timeline that you spoke about the roughly 18 months, can you just kind of wrap that into the same discussion here? So is it 18 months after submittal or 18 months after a lot of these steps have already begun? Just want to clarify that.
Nik Wood: Yes. So just to -- yes, to clarify that we've started the steps to get to Class VI permitting and that 18 months is from the time we start, so now.
Operator: And our final question is from Michael Scialla with Stifel. Please proceed.
Michael Scialla: Yes. Hi everybody. Chris you addressed this a little bit in your remarks, but I don’t know you've said in the past, you welcome competition in the CCS business, given the size the opportunity a couple of companies formed a partnership recently for CCS projects in that Donaldsonville area where you now have a couple of agreements? Just want to get your latest thoughts on competition in the space and is it causing you to approach it in differently than you have in the past?
Chris Kendall: Yes, that's a good question, Mike. And we -- as I've said before, certainly believe in CCUS as being something that will be very, very large and will grow for years starting from here really. And so there will be others who will do this, and they may be the super majors on one end or independence and smaller than us on the other. Where I think about it competitively, I'm very happy with where we are. We, first of all, we're just doing this. This is something that has been our bread and butter for decades, and the comfort that we have in everything to do with CO2, we feel just can't be matched. I mean, moving 10,000 tons into reservoirs every day we're doing that today. And we did it yesterday and it'll continue. The emergency response, the construction teams, the evaluation teams, you just name it. We have it. And so I feel good about it, but I also realize it's competitive and it's something that we need to provide the best service possible to our industrial partners. And I think that -- honestly, I think that what we have does just that. The redundancy that Nik talked about, the flawless supply offtake that David talked about over many years that's part of the service we provide. So I feel good about it. So it's having competition means that this is a good thing we're involved in and we're going to do our best to make a big mark in it, Mike.
Michael Scialla: I appreciate that. I want to see if you could talk about the agreement you just signed with the chemical plant in Louisiana, sounds like that's going into geologic storage. Was there any discussion of them potentially putting emissions into an EOR project in order to speed up the timeline? And do you think that agreement will help you open the door with any additional agreements in that area?
Chris Kendall: That's a good question, Mike. And one thing that I meant to mention earlier in the call is just the certainty that we can provide today for CO2 emissions, going into EOR and qualifying for 45-Q at that different level. That is something that Denbury can provide that is unique. And it allows these industrial partners to make those investment decisions that Nik was talking about now, rather than waiting for the Class VI permitting to be approved. And so we think that gives us a great advantage. And generally all of the agreements that we have talked about so far, allow us the flexibility to go into EOR or into dedicated storage or alternatively to go into EOR until dedicated storage is available. And so that's something that's contemplated in every one of these conversations we're having and in the agreements that we've been and putting together.
Michael Scialla: Is that option at the -- is that the emitters option or is that at your discretion to take it into EOR or how does that work?
Chris Kendall: It's generally our option, Mike.
Operator: We have reached the end of our question-and-answer session. I would like to turn that conference back over to Brad for closing comments.
Brad Whitmarsh: I want to thank you all for joining us today. As we close, I also want to express my gratitude to Susan James for her work in IR at Denbury. Susan's taking on a new role within our CCUS function, and I'm sure she's going to contribute meaningfully to that team. Joining IR is Beth Bierhaus, an engineer previously working in our large CCA field. I'm certainly looking forward to you all getting to know Beth. Should you have any follow-on question today, please don't hesitate to reach out to us. And thank you again.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.